Operator: Good day, ladies and gentlemen, and welcome to the Garmin Ltd., First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only model. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I'll now introduce your host for today's conference, Kerri Thurston, Director-Investor Relations. Please go ahead.
Kerri Thurston: Thank you. Good morning, everyone. We'd like to welcome you to Garmin Limited's first quarter 2015 earnings call. Please note that the earnings press release and the related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and the related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products, and objectives, are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call, may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K, which was filed with the SEC. Presenting on behalf of Garmin Limited this morning are, Cliff Pemble, President and CEO; and Doug Boessen, CFO and Treasurer. At this time, I'll turn the call over to Cliff.
Clifton Pemble: Thank you, Kerri, and good morning, everyone. As announced earlier this morning, Garmin reported solid first quarter revenue and margin performance. Consolidated revenue was flat year-over-year, and what is typically a seasonally weak quarter. Revenue from aviation, fitness, marine, and outdoor grew 9% on a combined basis. These segments contributed 63% of total revenue and 80% of the operating profit in the first quarter. Gross margins improved year-over-year to 59% while operating margin came in at 19%. Slight reduction in the operating margin from the prior year reflects continued investments in advertising and R&D. The stronger U.S. dollars created a headwind for most businesses including ours. We estimate that recent currency movements reduced our revenue by approximately $38 million and operating income was reduced by approximately $11 million. As everyone can appreciate, these are meaningful amounts that would have otherwise resulted in growth for our business. Please note that our pro forma calculations do not account for these factors, but we wanted to mention it for clarity. Strong margins combined with the lower effective tax rate resulted in $0.55 of pro forma EPS in the quarter which is flat on a year-over-year basis. We are maintaining the guidance we issued earlier in the year as our performance thus far is consistent with our expectations. Doug will discuss our financial results in greater detail in a few minutes, but first I will walk through a few highlights for each business segment. Beginning with the fitness segment, revenue grew 31% on a year-over-year basis with strong contributions from activity trackers, multi-sport and cycling products. We delivered gross and operating margins of 63% and 26% respectively. Operating margin was lower on a year-over-year basis, reflecting an increase in R&D and advertising investments during the quarter as planned. As you are aware, the fitness market is highly competitive and thus requires additional R&D investments in order to bring innovations to market faster. In addition, we are deliberately investing in our point-of-sale presence as we roll out new products and prepare the way for our spring advertising campaign. In cycling, we announced the Vector 2 and Vector 2S, our latest pedal-based power solutions. These new vectors, simplify the installation process and deliver advanced cycling metrics that are useful for improving cycling efficiency. Fitness has been an exciting growth driver for our business in recent quarters, and we believe there are more opportunities to capture. We are well positioned with our current product breadth and depth, and we'll continue to invest for future growth and expansion. Looking at outdoor, revenues declined 10% which fell short of our expectations as the currency situation disproportionately impacted both fitness and outdoor, due to the geographic revenue profile of these segments. Additionally, we experienced some supply constraints which affected our results. Despite these headwinds, growth in operating margins remain strong in the segment at 66% and 31% respectively, allowing us to deliver operating income growth on lower revenue. Finally in outdoor, we announced the VIRB X and XE in all new family of action cameras. These cameras deliver a unique and massive experience through G-Metrix which adds insightful context to any video. In addition, our updated VIRB mobile application provides the ability to create, edit and publish videos on the go. We're excited about the capabilities of these new cameras and believe they offer unique differentiators on which we can grow in the category. Turning next to aviation, we posted revenue growth of 2% as we faced some more challenging comparable from Q1 2014, when the segment grew 19%, while growth in operating margins remain strong, operating profit declined on a year-over-year basis due to R&D growth, supporting future revenue opportunities. During the quarter, we announced enhancements to our ADS-B product offerings. Our current lineup offers the most comprehensive set of solutions across a range of price points in aircraft categories. We believe we are well positioned to capitalize on modernization mandates around the globe, which are rapidly approaching. We continue to support numerous OEM partners in the development and certification of multiple aircraft and helicopter platforms, which will result in future growth opportunities, when these platforms reach the market. Looking next, the marine revenue grew 7% in the quarter driven by the recent acquisition of Fusion. Our organic business was relatively flat on a year-over-year basis as we started delivering our new products in the latter part of quarter. Profitability improved in the first quarter, which resulted in operating income growth of 20% for the segment. While industry activity remains below historical levels, we've recognized the innovation is essential to deliver long-term improvements in market share and profitability. We will continue to invest in the category to deliver compelling innovation to recreational marine market. In our auto segment revenues were down 11% in the quarter with PND industry volumes declining in line with expectations. On a year-over-year basis, amortized revenue declined creating a headwind is not correlated to the underlying business. As we have mentioned before, the segment delivered solid profitability as we continue to experience gains in global market share on the strength of our product portfolio. As indicated in our February guidance, we expect the market to decline 10% to 15% on a global basis during the year. We will focus on growth opportunities in OEM, trucks, RVs, dash cameras and other specialty automotive products to partially offset lower consumer PND volumes. Finally, I want to highlight the recent introduction of Nüvicam, which is the first PND to offer advanced alerts such as Forward Collision and Lane Departure Warnings. Nüvicam also includes an integrated dash camera that saves video images whenever a crash or user initiated event occurs. We are excited to deliver these advanced features to the PND market and we anticipate offering similar products to OEM customers in the future. So that concludes my remarks for the morning. Doug will now walk us through our Q1 financials in more detail. Doug.
Doug Boessen: Thanks, Cliff. Good morning, everyone. I would like to briefly review our financial results then move to summary comments on the balance sheet and cash flow statement. We posted revenue of $585 million for the quarter with pro forma net income of $106 million. Pro forma EPS was $0.55 per share excluding the FX loss. During the quarter, we faced significant exposure of foreign currency fluctuations which resulted in a revenue headwind of $38 million or 6.5% of revenue. Taking into consideration the offsetting benefits, FX negatively impacted EPS for the quarter approximately $0.05 or 9% of pro forma EPS. In addition, amortization of deferred revenue is now a year-over-year headwind, negatively impacted revenue by $14 million. Pro forma EPS was approximately $0.05. Excluding these headwinds, revenue growth would have been 9%. Pro forma EPS growth of 18%. Gross margin was strong at 59%. A 210 basis point increase from prior year, driven by favorable segment and product mix. Operating margin was 19%, a 150 basis point decrease from the prior year. We will look at operating expenses by category on a later slide. Effective tax rate decreased to 12.3% in the current quarter compared to 16.6% in the prior year due to an improved income mix outlook for 2015 as compared to our outlook at the end of Q1 2014. We still anticipate a full year tax rate of 16% to 17%, so first quarter tax rate was positively impacted at least a $5 million of tax reserves to a percentage of lower pre-tax income. In the quarter, we shipped over 3 million units, a 22% increase. Reduced average selling price in the quarter due to product mix, FX, reduced contribution from deferred revenue. Did not see any significant price reductions on like-for-like products. Next, we look at how our first quarter revenue breaks down by segment. The auto segment represented 37% our total Q1 2015 revenue, compared to 42% in Q1 2014. We continue to diversify our revenue base with growth in Fitness, Marine and Aviation. I'd like to now briefly discuss gross margin which increased to 59% as segment and product mix was favorable during the quarter. Looking at year-over-year changes by segment, Outdoor, Marine posted a significant improvement with reduced discounting and favorable product mix. Fitness gross margin declined slightly to 63%, remained strong with a full portfolio of products continued to perform well. Total corporate operating margin was 19% as operating expense growth outpaced revenue growth. Excluding the headwinds from FX, amortization of deferred revenue, operating margin would have been flat. Next, we look at our operating expenses. First quarter operating expenses increased by $22 million or 10%, this is a 360 basis point increase as a percent of sales. Research and development increased $10 million year-over-year, and 160 basis points to 18.1% of sales. We continue to invest in innovation and grow our engineering workforce, increasing resources, focused primarily on aviation, fitness, and outdoor. Our advertising expense increased $3 million for the prior year quarter, represented 4.7% of sales, 50 basis point increase. Additional spending was focused on fitness, investments in point-of-sale presence with key retailer to produce long-term revenue results, in preparations for the launch, spring wearables advertising campaign. SG&A was up $9 million, compared to the prior year quarter, increasing a 150 basis points as a percent of sales to 16.9%. Increased spending driven primarily by legal costs, IT expenses, and product support costs that customer base continues to grow rapidly. Just a few quick highlights on the balance sheet and cash flow statement. We ended the quarter with cash and marketable securities of $2.7 billion. Accounts receivable decreased sequentially to $426 million, following the holiday quarter. Our inventory balance increased to $470 million as we have build inventory level to support the launch of new product categories, in preparation for a seasonally stronger second quarter. We continue to generate strong free cash flow across our business with $64 million generated during the first quarter 2015. During the quarter, we paid dividends of $92 million, repurchased $16 million of company's stock. The $284 million remaining for purchase in December 2016. This concludes our formal remarks. Ashley, can you open the line for Q&A?
Operator: [Operator Instructions] Our first question comes from Simona Jankowski of Goldman Sachs. Your line is open.
Simona Jankowski: Yes, hi. Thank you very much. I wanted to ask you first on any thoughts you might have on plans for sourcing your maps in the event that the HERE business from Nokia is sold to a vertically integrated vendor?
Cliff Pemble: Yes, Simona. I think we've always operated with HERE under long-term contracts. And so while the process that Nokia has been going through has been rather public, we don't have any concern right now in terms of what our massive supply situation will be.
Simona Jankowski: And because the contracts would go with the company.
Cliff Pemble: Yes.
Simona Jankowski: Okay. And then on the fitness business, you commented about an FX impact even with that it seems like it came a little weaker than I think we had expected. Can you just comment on the competitive environment there, and then specifically to some of the consumer feedback you had on thinking issues with the mobile app, what actions do you think you can take to address that in a timeline?
Cliff Pemble: Well, the market is definitely getting more competitive, as some of the major players are -- have or are introducing now their new products for the year. So we recognized that definitely the competition is getting more intense. In terms of our product feedback, of course we are very sensitive to that, and they've been working hard to improve our mobile app and product software in order to be able to be the most robust as possible. I think though that this is part of the reality of the mobile phones and Bluetooth connections, which are somewhat unreliable and software has to try to be as robust as possible, but there is still side effects.
Simona Jankowski: Is – do you have any visibility on the timeline to when you might be able to address those concerns?
Cliff Pemble: Well, we've already introduced updates to Garmin Connect mobile. And I believe this is working much better, and we also have a roadmap to release the update throughout the year as well.
Simona Jankowski: And then just last quick question from me on the legal expense which I think was the biggest reason for the increase in SG&A of 10%. What was that related to?
Cliff Pemble: This relates to some lawsuits that we have previously described in the 10-K, but some of those hopefully will come to a trial in the next few quarters.
Simona Jankowski: Okay. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. Ladies and gentlemen, as a request, we are asking you to ask two questions per person. Our next question comes from Mark Sue of RBC Capital Markets. Your line is open.
Mark Sue: Thank you, and good morning. I'd like to focus on Garmin's ability to grow operating income considering that EPS will mostly flat year-on-year this year. Particularly as we look at the two segments of outdoor and fitness where our competition is increasing, and you do have more entrants. Are we at a point where Garmin needs to spend more in advertising and hence spend more in point-of-sales to drive the incremental unit growth. How should we think about the balance between operating margin improvements, and your ability to grow earnings?
Doug Boessen: Yeah. Mark, it's absolutely true that that particularly fitness and somewhat in outdoors is more competitive. There is a need to invest more in advertising that's something that you've been seeing us doing over the past few quarters. We increased our investment in Q1 mostly around point-of-sale material, preparing the way for our new products and also spring advertising campaign that's coming up.
Mark Sue: Any thoughts on when that might actually start winding down or is this more of a full throttle push to drive that to the balance of the year?
Doug Boessen: So, right now, the market is growing rapidly and we are in a mode of gaining market share and so we are focused on that at the moment and taking advantage of the growth opportunity that's there.
Mark Sue: Okay, that's helpful. And Doug, maybe on FX, the volatility is quite high, any inclination to look at forward or options or even colors at this point because of the big currency moves, I know the cost of hedging is quite high at the moment, but maybe your thought, long-term on hedging?
Doug Boessen: Yeah. So with that we currently do not have intentions to hedge. We have not hedged historically. The foreign currencies will move up and down. So at this point in time, we don't have current plans to hedge.
Mark Sue: Okay. Thank you.
Doug Boessen: Thank you.
Operator: Thank you. Our next question comes from James Faucette of Morgan Stanley. Your line is open.
James Faucette: Thank you very much. I wanted to ask a couple of questions, first from a high level perspective. I recognized that the first quarter is a seasonally weak quarter, but I'm wondering if you can talk a little bit more broadly about where you're seeing strengths versus potential headwinds as we go through the rest of this year, and as you reiterate guidance kind of the things that you're feeling confident about versus what [indiscernible] ? And then I also wanted to touch on the – specifically the aviation business, I know that you are up against a tough compare versus last year, but how should we think about the growth prospects and particularly as new platforms continue to grow for the rest of this year and into 2016? Thank you.
Doug Boessen: Hi, James. I think right now in terms of strength and weaknesses, each of our segments is performing pretty much in line with where we would expect at this moment, still very early in the year, only one quarter behind us. So right now we are not changing any of our outlook in terms of the growth across each of our segments. And in terms of aviation, it definitely was weaker this first quarter, but we are up against a 19% growth in Q1 of 2014 when several new platforms hit the market at once. I would expect that the growth should increase as the year goes forward as new platforms hit the market particularly the Cessna Latitude as well as Cirrus SF50 and the HondaJet.
Operator: Thank you. Our next question comes from Charlie Anderson of Dougherty and Co. Your line is open.
Charles Anderson: Good morning, and thanks for taking my questions. I know it's only been a few weeks, but I wonder if you got any feedback yet from the retailers in terms of sell through of your fitness products since the Apple watches debut both on a pre-ordered basis and then now on chain.
Doug Boessen: Well, I would say just in terms of availability of the Apple watches only been a few days and in limited quantities, but that at this moment we don't hear of any or expect any significant change, our products are positioned differently than the Apple watch, and we appeal to a strong active lifestyles.
Charles Anderson: Second question from me, a number of your competitors in fact just have embraced the optical kind of on risk heart rate monitor you guys have always favored Chest Warn, I wonder as you think about product roadmap, you evolve to that feature and how much more expensive would it be to add it to the device versus this $50 premium that you are adding now for the Chest Warn.
Doug Boessen: Well risk heart rate is definitely a functionality that customers are embracing, and it's a differentiator for our competitors, we anticipate we'll close this gap in our product line in the near future.
Charles Anderson: Thanks so much.
Operator: Thank you. Our next question comes from Jeremy David of Citigroup. Your line is open.
Jeremy David: Hi, good morning. Thank you taking my question. Two questions on the next-gen VIRB action camera. First on timing, your press release today, it stated that shipments will start in Q2, whether if I recall correctly the product announcement refer to a similar launch. So should we think of VIRB ramping in Q2 or more in Q3. And then my second question is going back to the launch of the initial VIRB, again a half ago, I think one of the issue you had was that not many retailers where interested in carrying the product in their stores. Do you believe that distribution for the next-gen product will be broader than for the initial product and if so, why would that be the case? Thank you.
Doug Boessen: Yeah. I think Jeremy, in terms of the timing of the product, probably it will be ramping in the back half of Q2. So that's that the timing that we're working with right now. In terms of retailer interest in this product, we do see much more interest in this product in our first VIRB, I think that the form factors appeals to people, the ability to use the product without a protective case is the differentiator and people are excited about the new enhancements we've made to our PC software and our mobile applications to be able to edit and publish videos easily. So we're getting good feedback and – and we would anticipate that we will be able to have better distribution based on the strength of the product features.
Operator: Thank you. Our next question comes from Ben Bollin of Cleveland Research. Your line is open.
Ben Bollin: Good morning, everyone. Thanks for taking the call.
Cliff Pemble: Good morning.
Ben Bollin: My first question, when you look at the outdoor and the fitness business, you talk to the increased R&D, in advertising emphasis you're placing, how sustainable are you anticipating that investment to be, is that a 2015 event, is this a more perpetual event? And do you have any thoughts on the associated margin profiles of these businesses in a more normal environment, when you're – you're not pushing these expense line items as aggressively, and then I have a follow up?
Cliff Pemble: Yeah. In terms of the R&D investment, and the sustainability of that, the markets right now are very competitive. And so, of course we have to innovate and bring features to market in order to be competitive and superior in our offerings. Right now, we see the growth opportunities in terms of – as the long-term look at that, I think these markets can move up and down very quickly. So we would adjust our business in our investment based on the opportunity that's out there. In terms of the margin profile, particularly in fitness, it's definitely true that the ASP of this particular segment is coming down, because of the contribution of the activity trackers. The margin profile will also certainly come down, although we do believe that our mix of products across the range from low-end to high-end will tend to balance, and we'll still have strong margin profiles in fitness going forward.
Ben Bollin: And then, looking at the automobile business, how do you feel about the progress in traction, you're realizing on the auto OEM front? And how well do you feel your position for autonomous vehicles into the future? Thank you.
Cliff Pemble: Well we have demonstrated consistent progress in our auto OEM business, with some high profile customers like Daimler and Honda. And we continue to work closely with multiple targeted customers on several opportunities better out there. Of course, giving more color on those opportunities, we're unable to do that at this time because of confidentiality. But we view this as a marathon effort and not a sprint. So, we continue to be patient and invest. In terms of our positioning around autonomous vehicles, we certainly offer technologies much like we've introduced recently in our nüvicam that could serve in those kinds of vehicles. But, at this point, we don't see ourselves as a driver of vehicles themselves or as the main integrator in that technology.
Operator: Thank you. Our next question comes from Tavis McCourt of Raymond James. Your line is open.
Tavis McCourt: Hey, thanks for taking my question. Two of them. First, on the inventory build, Doug, I think you mentioned, that was in preparation for -- I think you're wording with new product category launches, and I'm trying to get a sense of -- are these products that you've announced already or entire new category that maybe some of the definitional issue. But obviously, the inventory trending in Q1 a little different than the historical average, maybe a little more clarity around that? And Clif, I have a question on the new nüvi with the integrated forward collision warning and dash cam. Some of the smartphone-based solutions like that have been pretty crucial to be honest. So, are you comfortable that you're able to provide a good quality of service, especially on the forward collision warning and lean departure without professional installation. I think that's where the smartphone based systems run, so it's a bit of an issue? Thanks.
Cliff Pemble: Okay. I'll take the inventory question. As it relates to the inventory, that relates to already announced products. So, basically, we have a lot of the fitness products as well as some of the work we talked about in there that we're building up to make sure that we meet demand and the retailers.
Doug Boessen: And Tavis, with regard to the nüvicam and the Collision Warning and Lane Warning type of features, in terms of what I've seen and I've used the product quite a bit, I feel pretty good about the capability and the performance of the product. We've tested the product versus integrated solutions and vehicles that are offered on the market today, and we feel like it compares very favorably. So, we feel good about our technology. We've invested in optics technology for a while now and it's starting to show up now across our product lines including products like nüvicam.
Operator: Thank you. Our next question comes from Will Power of Robert Baird. Your line is open.
Will Power: Great. Thanks. Couple of questions, maybe just come back to the fitness operating margin outlook. I think you referenced spring marketing campaign, and obviously you get more competition in the marketplace, should we expect just because of operating margins to further sequentially in Q2 due to the competitive dynamics or lot of that marketing would have spent and reflected in Q1 margin level?
Cliff Pemble: I think in terms of sequential moment, we would not expect it to dip. We would expect that our revenue profile will be increasing because of [indiscernible] seasons that are coming up, but in terms of year-over-year performance, we do believe that it will be lower.
Will Power: All right, okay. In a separate question, looking at the buyback in the quarter, somewhat limited, what's the thought process or I guess, the process generally to consider accelerating the current buyback authorization or even upsizing it?
Cliff Pemble: Yeah. So we principally announced $300 million authorization in February. So our current plans are to complete that $300 million within that two-year period of time December 2016. So, the method we purchased in Q1 was just from the time of authorization. So, it obviously is plus than the amount we have last year when we had a full quarter, but we can despite probably a similar pace is what we've seen in Q1, but making sure that we do complete that authorization within our two-year period of time.
Will Power: Okay. And then, just I wanted to make sure is clear on the tax rate, which came in lower in the quarter, and so only there was one time impact there. What sort of a tax rate now you use for the full year?
Cliff Pemble: Full year, similar guidance we gave 60% to 70% so it's a full year rate. And we saw there was in the first quarter since it's a low income quarter, the $5 million of tax reserve we had there at a larger percentage on that.
Will Power: Okay. All right. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Brad Erickson of Pacific Crest Securities. Your line is open.
Brad Erickson: Hi. Thanks for taking my questions. The few follow-ups from some have already been asked. First it's around the fitness margins and the incremental, are they, I guess the spending around R&D and advertising, you talked about, just to be clear, is that incremental relative to kind of previous expectations that were set on the fitness business?
Cliff Pemble: No this. In terms of the expectations we've sent, we are operating according to plans, we feel like our current spending is in line with plan four in our budget.
Brad Erickson: Got it. That's great. And then, just in terms of the return of capital. I think, you know historically you've kind of committed the returning basically all of free cash flow. Can you comment just on yours and your board's appetite to return to potentially more than 100% of free cash flow at some point?
Cliff Pemble: Yeah. I think at this moment, we're comfortable with the level that's being returned. We do have unique limitations around the shareholder structure and control of foreign corporations as well as our capital structure in Switzerland. So, we feel like the current approach is adequate.
Brad Erickson: That's great. Thanks.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Andrew Spinola, of Wells Fargo. Your line is open.
Andrew Spinola: Thank you. You had a nice improvement year-over-year in the auto gross margin, about a 120 bps. But I think if you do account for the FX, and the deferred revenue impact I estimate maybe over 400 bps improvement. And you referenced in the press release that, there was less discounting and more improvement in cost material space. It seems like a very large improvement. And I'm just wondering if you can help us understand, is this something that's sustainable going forward, is it maybe more of a Q1 trend, because there is less discounting post the holiday, with less seasonality would, how much of this is sustainable and how much is just a Q1 impact going forward?
Cliff Pemble: I think there's some element of that, that's – this Q1 impact, because we're comparing the discounting that should place in Q1 of 2014 versus 2015, which is probably more a seasonal spike. But in terms of the cost structure and those other factors we would see that going forward and we're managing the business for our market share and profitability. So this is our approach.
Andrew Spinola: Okay. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Ron Epstein, of Bank of America Merrill Lynch. Your line is open.
Kristine Tan Liwag: Hi. This is actually Kristine Liwag, calling in for Ron this morning.
Cliff Pemble: Good morning.
Kristine Tan Liwag: Good morning. In your press release you mentioned that you're now offering an ADS-B piece that provides most comprehensive line of solutions. Can you provide more details on how your product compares to the competition, and then also can you please quantify the size of the market that you could address?
Cliff Pemble: Yeah. In terms of the breath of products that we offer. We offer products that can work with portable solutions, we have a product that can work with tablets. We have a product that's fully installed and integrates with our panel mount equipment. We have products that operate through our transponders as opposed to through separate 978 megahertz UAT transceiver. So, we just have a broad set of offerings that can appeal to almost any aircraft whether they have mode S capability or they're on the lower end in the piston side. And your second question, please?
Kristine Tan Liwag: Can you quantify the size of the market?
Cliff Pemble: Size of the market is in the hundreds of millions of dollars.
Kristine Tan Liwag: Great. And then a separate question. What metrics do you look at internally to measure the brand awareness of Garmin products and also the effectiveness of your advertising dollars?
Doug Boessen: Yeah, I think these are very challenging things to specifically measure, because each kind of approach that you use might yield a different result, but we look at search trends and web trends. We look at trends on our websites. We look at trends on major retailers, online retailers and we get a sense out of those types of investigations.
Kristine Tan Liwag: And can you provide or give us some an idea of what your tracking right now?
Doug Boessen: No, we don't have details, we can share right now.
Kristine Tan Liwag: Great. Thank you.
Doug Boessen: Thank you.
Operator: Thank you. We have a follow up from Tavis McCourt of Raymond James. Your line is open.
Tavis McCourt: Yeah. Thanks. Doug, wanted if you could give us kind of an updated view on with respect to the deferred revenue decline to be on the balance sheet this year?
Doug Boessen: Pardon me.
Tavis McCourt: It means decline in deferred revenues or the – that the [indiscernible]...
Doug Boessen: Sure. So from – yeah, sorry about that. So, from debt perspective, we anticipate a headwind or consistent to what we have probably in the first quarter there.
Tavis McCourt: For the full-year?
Doug Boessen: Yes.
Tavis McCourt: So, all of the headwind would be recognized in the first quarter or everything.....?
Doug Boessen: No, no, no, no. Consistent type of a headwind....
Tavis McCourt: Okay.
Doug Boessen: Yeah. consistent type of headwind.
Tavis McCourt: And then, Cliff, I want to follow up on kind the automobile question, if I look at revenues and back out the deferral impacts, it looks like revenues were probably down, more like 7% and then if I assume some FX exposure. You're pretty close to flat, and I'm wondering if you look at it on that basis, is that something that's sustainable or was there some quick takes in terms of the year-over-year comps that would make that, get a bit worse with your progress. Thanks?
Clifton Pemble: Well, as I mentioned in my comment status, we were pleased with the underlying business and those are the factors didn't really tell the whole story, in terms of the strength that we saw that keep in mind that on a year-over-year basis last year, we probably had a higher level of inventory in the channel and thus ship more into the channel or less into the channel, at that time, as we discounted and tried to help our retailers clear it. This year, the channel is cleaner and we had the ability to ship pretty much what retailers wanted. So, there is some puts and takes along that regard and we do anticipate that the overall market will decline in the 10% to 15% range for this year.
Operator: Thank you. I'm not showing any further question in queue. I'd like to turn the call back over to Kerri Thurston for any further remarks.
Kerri Thurston: Thanks, Ashley. Thanks everyone for joining us this morning. And Doug, and I will be available throughout the day for follow-up calls as well as on the road over the next three weeks. Thanks.